Operator: Good morning, ladies and gentlemen, and welcome to the Titan International, Inc. Third Quarter 2023 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and we will open up the floor for your questions and comments after the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Alan Snyder, Vice President, Financial Planning, and Investor Relations for Titan. Mr. Snyder, the floor is yours.
Alan Snyder: Thank you, Megan. Good morning. I'd like to welcome everyone to Titan's third quarter 2023 earnings call. On the call with me today are Paul Reitz, Titan's President and CEO; and David Martin, Titan's Senior Vice President and CFO. I will begin with a reminder that the results we are about to review were presented in the earnings release issued yesterday, along with our Form 10-Q, which was also filed with the Securities and Exchange Commission yesterday. As a reminder, during this call we will be discussing certain forward-looking information, including the company's plans and projections for the future that involve risks, uncertainties, and assumptions that could cause our actual results to differ materially from the forward-looking information. Additional information concerning factors that either individually or in aggregate could cause actual results to differ materially from these forward-looking statements can be found within the Safe Harbor statement included in the earnings release attached to the company's Form 8-K filed earlier, as well as our latest Form 10-K and Forms 10-Q, all of which have been filed with the SEC. In addition, today's remarks may refer to non-GAAP financial measures which are intended to supplement -- In addition, today's remarks may refer to non-GAAP financial measures which are intended to supplement, but not be a substitute for the most directly comparable GAAP measures. The earnings release, which accompanies today's call, contains financial and other quantitative information to be discussed today, as well as a reconciliation of the non-GAAP measures to the most comparable GAAP measures. The Q3 earnings release is available on the company's website. A replay of this presentation, a copy of today's transcript, and the company's latest quarterly investor presentation will all be available soon after the call on Titan's website. I would now like to turn the call over to Paul.
Paul Reitz: Thanks, Alan. Good morning, everyone. Our One Titan team delivered another solid quarter on multiple fronts, positioning us well to finish the year with good momentum and financial results that will rank as one of the best years in Titan's history. Overall, I have to say I'm pleased with our Q3 results, especially when you look at our financial performance and cash flow and most importantly, our service to our customers to help them de-risk their supply chains. Adjusted EBITDA for the quarter was $41 million, enabling us to continue fortifying our balance sheet with free cash flow of $37 million. That allowed us to push our cash balance up to approximately $212 million with an EBITDA leverage at just 1 turn. The significantly improved strength of our balance sheet along with the team delivering solid performance illustrates that Titan is in good position for future strength and growth. Overall, 2023 is generally playing out as we expected, with certain puts and takes across business units that really does illustrate the ability and strength of our geographic and product diversification to deliver solid results in these type of conditions. Recall that 2022 was an exceptionally good year at Titan as we enjoy our highest revenues and free cash flow in history, that enabled us to accelerate the pay down of our debt, leaving our balance sheet in excellent shape. While we certainly enjoyed the success 2022 brought, it has also impacted the optics around our 2023 results as industry dynamics simply did not support a continuation of last year's activity levels, really driven by the OEM inventory destocking that has been taking place throughout this year. However, viewed relative to longer term financial performance trends for Titan, 2023 is shaping up to be a very good year for the company. As we approach year end, we're also optimistic that this de-stocking dynamic that we have been discussing in previous periods as well and has impacted -- our operations throughout 2023 is really starting to work its way towards its conclusion. This will allow us to enter 2024 with relatively normal market conditions. And the benefits of seeing our production levels now return to being more in line with retail market sales. So let's flip over to business conditions in our markets. In the overall, farmer income remains healthy. It's underpinning a solid demand picture in large ag, which is a major part of our business. North American large ag demand is further supported by factors such as solid farmer income, you're seeing lower grain stocks, combined with pent up demand for equipment that's needed to fill used inventory. And you still have a fleet that's on the older side. Moving into large ag deeper though, I want to talk about it more specifically from Titan's perspective. And it illustrates the strengths that we have and goes beyond just looking at the overall market picture. One of the factors that sets us apart as a leader and partner of choice in this sector of the market is our innovation. It's led by a strong technical connection with end users that's coupled with our massive production capabilities in wheels and tires. So what does that mean? It led to the creation of our low sidewall wheel and tire assemblies. We've introduced that directly to farmers, and we have proven to them they can save up to 6% in fuel efficiency and up to 5% in yield gains. This easily makes it a wise investment decision for a farmer that's looking to increase profitability. Since we've introduced LSWs in the markets, we have seen them prove to our dealer partners and to OEMs that it is a win-win solution for everyone. As ag equipment has and will continue to get larger, LSWs are a perfect match. And keep in mind that Titan's plants have the very large presses, building equipment, and tooling required to meet these growing needs. Also, I want you to bear in mind, too, that our LSWs are a great retrofit for used equipment, because it will simply improve the performance of that equipment. And also, what it has done is, it helped underpin a strong aftermarket business for Titan that we've built over the last four to five years. So moving directions away from large ag, we have discussed in prior periods that Titan has a strong small OEM ag business with some really good key customers in that space. The last quarter we noted that North American small ag volumes have been decreasing throughout the year. I mean, that's expected. You look at the rise in interest rates and inflation, so it's going to have an impact on consumer behavior. And that dynamic has continued throughout this quarter as well. Our primary customers in this segment are starting to see market conditions stabilize as excess dealer inventories are subsiding. But more specifically, we will see Titan's business start to rebound as that destocking subsides. And our production levels will benefit from that. So again, just to think of it this way, we've been pedaling uphill in small ag. As that hill flattens out, we'll feel like we're almost coasting when we get the boost from inventory de-stocking society. Other uses I do want to mention for small ag is, it goes beyond just these hobby farmers and the typical applications that may be thought of when you think of that equipment. It does include other uses in commercial, light agriculture, dairy, municipal activities. So really, it's a varied set of end users, with each experiencing different drivers and market conditions for their cases. But again, Titan is extremely well positioned in this marketplace with our wheel tire assemblies that will mitigate the risk of supply chain for these types of customers in this sector. Looking at the European ag market, it continues to be steady as it has been last quarter and throughout this year. Our business there is performing very well. When you look at it from the perspective from wheels, as our market position has continued to improve. Conversely, if you move down to South America and look at Brazil, you have the headwinds coming in from the political shift that brought changes and uncertainty to ag market that has -- around the government support for their ag markets, I should say. But our business there has really been more impacted, again, by OEM de-stocking, especially in that region. In response, our Titan Brazil team, which has incredibly deep experience and knowledge of not just our business, but the entire marketplace, along with strong customer relations and really good market share. They've taken swift actions as they normally do and with that we've really adjusted to these conditions well. We've protected our financial performance, and along with that, we continue to provide exceptional service to our customers. Globally, moving over to construction, when you look at overall construction activity, the markets have remained relatively firm. As leading construction operators continue to report solid backlogs. It's really buoyed by the infrastructure and non-residential spending and investment coming in. As a result, it's expected heavy equipment is poised to continue to see high use levels. Our undercarriage business, which more specifically makes up a big part of our EMC segment, had another solid quarter. Their margins were pressured a little bit by the volumes that I mentioned in Brazil related to the activity taking place there. As inventory stabilizes in Brazil, we're already seeing our ITM Brazil business see a solid order book kind of rounding the corner into 2024. So as we look towards 2024 overall, our undercarriage business is poised to have another strong year. So summing all this up, look, it goes without saying, but I'm going to go ahead and say it. I mean Titan is executing well. I mean, our business is on track to record one of the best years in company's history, despite this OEM inventory destocking dynamic. Based on customer meetings, we do see this issue winding down. And we expect to enter 2024 with conditions relatively normal, confirming our view that the overall macro environment is still good when viewed on a multi-year basis. So although appreciation for our 2023 results could be somewhat obscured by the difficult comparisons to last year, this really is an exciting time in Titan's history. Over the past several years we have put a lot of work to position the company for sustainable growth. Our global product development and innovation, like I highlighted earlier, coupled with favorable industry conditions in our end markets that are expected to persist over the mid and long term, supports the view that the opportunity at Titan is attractive. The investments we've made in our people, plants, and products, along with an unwavering commitment to serving our customers has us well positioned to mitigate the risk for our key customers. Underpinning the ag markets is good farmer income. It is supported by solid supply and demand fundamentals when you look at corn and soybeans. This will provide sufficient support for investment in equipment, especially equipment that has new leading technology on it. Our introduction of leading technology in the wheel and tire and undercarriage space such as LSW, R14s, and our undercarriage track advice enabled our partners to offer their end users enhancements to their equipment that will improve performance and in turn their profits. So wrapping up, we are on track to deliver financial results that will rank among the best years in companies history. Our One Titan team continues to execute at a high level and lead the way. We have a keen focus on serving our customers through innovation and reliable products that comes from a strong global manufacturing footprint that really is at the core of what we do. And as we excel at this mission, we fully expect the results to show in our financial performance. So with that, I'm going to turn it over to David.
David Martin: Thank you, Paul. And good morning, everybody that's joined us today. Paul noted this, but it worth repeating. Our Q3 results were solid. And it leaves us in a really good position to finish the year well with results, again, that are going to rank amongst the best that we've ever had. Given the relatively unusual business conditions in our industry, that success is especially noteworthy and reflective of both of the hard work by everyone at Titan and also the multi-year transformation for the business. We've outlined many of those actions in our investor presentation, and we're going to continue to talk about all those things that are really going to drive the business going forward. This transformation has positioned us well, and we're in the best position we've ever been, with an excellent balance sheet and a business that we fully expect to be more resilient through all market cycles, which we've experienced this year to a certain extent. I'd like to remind everyone that our press release issue yesterday afternoon and our form 10-Q filed with the SEC, both contain a good amount of detail on our operating results, including segment performance discussion. With that in mind, I'll focus my remarks today on select highlights and the key items in the quarter. Starting with net sales, which were $402 million, it was generally in line with what we expected for the quarter. Our sales continue to be impacted by all the things that Paul talked about this morning, including the OEM destocking and the impacts on the Brazilian operations with more significant local economic headwinds. We overcame those challenges and our business is performing well. Our gross margin of 16.4% in the third quarter is reflective of our ability to hold margins, even during the period of temporarily reduced sales volume, through the many actions we have taken and the focus on bringing product innovation to the market. On a shorter term basis, gross margin in the third quarter last year was 16.5%, meaningfully higher sales. So our ability to hold margin at 16.4% this quarter is exceptional. On a year-to-date basis, our gross margins are at 17.3%. It's actually tracking ahead of where we were a year ago at this time, which was 17.1%. SG&A in the third quarter was at $33.6 million, up from last year. We're seeing normal inflation with SG&A, especially on salaries and related benefits. There is a bit of seasonal fluctuation, as on a year-to-date basis, SG&A is up less than $1 million versus the prior year. Our R&D costs were up roughly $800,000 in the quarter versus last year, due to the increased investments in product development. As Paul noted, technological innovation is a key differentiator for us, and we'll continue to prioritize those investments in R&D. Strong operating performance allowed us to deliver net income of $20 million, a GAAP EPS of $0.31, and adjusted EPS of $0.29, and then adjusted EBITDA of $41 million. All very good results. In terms of segment level highlights, I want to add just a few thoughts on the details that we gave in the release. Again, agriculture is at the heart of who we are, and our product innovations and solid management of production operations have enabled us to hold gross margins in the segment at a really nice level at 17.4% in the midst of the OEM destocking. Our EMC margins were somewhat lower in the third quarter at 14.4% due to the more impact of the lower OEM demand in the US and Brazil. During the quarter, we had some favorable tax developments, which led to lower taxes on income as a percentage of pre-tax profits at 19.1%. We now expect full-year taxes on income to approximate 25% of pre-tax income. These positive developments are primarily centered around tax credits that we can utilize in the US surrounding income in Brazil. And this comes as a result of Brazil opting into the global tax standards. Previously, we couldn't utilize these credits. Now let's take a look at cash. We continued to strengthen the balance sheet with $37 million of free cash flow generation. We used a little under $13 million of that cash to repurchase just over 1 million shares during the quarter. Net of that activity, our cash balance increased to $212 million from $196 million at the last quarter end and up from $160 million at last year end. We were active with the share repurchase program even after quarter end, purchasing an additional 299,000 shares for approximately $3.9 million up to the blackout period. We have approximately $27 million remaining on our current authorization as of today and we intend to be active in Q4 and beyond. Solid cash -- our solid free cash flow during the quarter allowed us to maintain our net debt to trailing 12-month EBITDA leverage ratio at 1 times, which is a very impressive result considering all the actions that we have taken as a company. Heading toward year-end, we continue to anticipate full-year results that are in line with our previous guidance, highlighted by solid margins and profitability and strong free cash flow generation. As a reminder, the second half of the year has approximately 15% fewer production days. And with the traditional late year holiday periods across the globe, we don't see any material deviation from that seasonal pattern this year. While we will be driving our near-term production to be fully prepared for the seasonal uptick in the first quarter next year. Now, wrapping up, our balance sheet is in great shape, and we talked about it quite a bit. But that affords us the ability to have a balanced capital allocation. Our markets are favorable and should provide solid mid and long-term support for our business. We currently expect 2024 to be another solid year for Titan, and we expect to add to the strength that we've already built over the last number of years. With that in mind, we firmly believe that our stock is a good long-term investment for the company, and we intend to be very active with our share repurchase program in the future. Utilizing our capital to fund acquisitions, joint ventures, or our internal capital investments are also things that we are constantly looking at and we will evaluate on a case by case basis for their ability to drive long term value for our company. That said, we're in the midst of updating our long-term strategic plan and the investments that we are going to prioritize for the business in the future. We expect to communicate with you soon as to these key priorities and our targets for the future. And I firmly believe it is truly an exciting time for everyone in Titan and for our investors as well. So I thank you for your time this morning and your attention to what matters to the future of Titan. And I'd like to turn the call back over to Megan for our Q&A session.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Steve Ferazani with Sidoti & Company.
Steve Ferazani: Good morning, Paul. Good morning, David. Appreciate the commentary on the presentation this morning. I mean, the big question, right, is really for a couple of quarters you're saying destocking should be completed by year-end and production picks up in early 2024. The question is, the last time we did this three months ago versus now, right, the key is, what -- has anything changed in your customer communications in terms of where they are in destocking and their plans to ramp up? Again, in terms of orders of tires and wheels, what are you hearing?
Paul Reitz: Yes. I mean, I've spent a lot of time out at customers lately, Steve, and trying to get to the answer to the question you're asking. And I've been pleased with what I've seen. Just recently I was up at a customer driving around their yard where they store their wheels and tires and they've had very significant movement on where it used to be to what I was looking at that day and where they thought they would be at year end. And so, again, I kind of get two customer visits in the last week, large customers of ours that I've been pleased with what I've seen with my own eyes and the conversations that I've had with their upper management. So this hill we've been climbing up all year long and peddling really hard, I mean, our team's done a great job dealing with the volatility of this, meaning the forecasts have been fluid and you can't always look at what's going on in the marketplace and to know exactly where our production levels need to be. And primarily I'm talking about Brazil and small ag when I say this too. I think we need to zero in on those areas and not create the perception that every situation is exactly the same. So if you look at Brazil, like David and I talked about, the de-stocking -- first off, OEM bought way too much, too many wheels and tires, especially tires in Brazil. They do that for reasons that are specific to their business. But we have extremely strong market share in Brazil, so this de-stocking has an impact on us from that perspective when you combine with the turmoil that was caused by the election. So it's really those two factors where we saw our customers have to deal with this issue more abruptly. And so, when you look at what's reported with Brazilian retail sales, that's not directly tied to what is our orders are for tiers in Brazil. And so, what we're seeing is, those come closer together now, especially as we get towards the end of the year. So at the end of the day, we need and we want our customers to take care of this issue. It's just been how they go about doing it this year. It varies by customer and it varies by region. And so small ag is the same thing. Small ag got hit by inflation, by interest rates, and so it's not just the de-stocking, it's also the market conditions as well. So if you take those scenarios in Brazil and small ag, and as those markets now appear to be stable, as they round the corner from 2023 into 2024 instead of biking uphill now we're back on flat ground, if not, cruising a little bit more downhill. So our vantage point is improving as that destocking is stabilizing. And so going back to your question, yes, I mean we are hearing, we are seeing the inventory levels come down at our customers because they have to. They can't operate with excess inventory at those, like they did, and they've done a good job handling it. So, I feel good about things being at a stable point and rounding the corner at the end of this year and the next year.
Steve Ferazani: Great, thanks. It's helpful. Question on the gross margins. One, the obvious question which is, very surprising given the significant revenue decline that your gross margins were as resilient as they were and I'm sure there's a lot of internal hard work. But a little bit more color because you would have expected some yield leveraging from reduced production and we're not seeing that in your numbers. And the add-on to that is, significant variability in the three segments, consumer and ag, actually better year-over-year, whereas EMC was much lower even though similar revenue declines.
David Martin: Yes, Steve, with EMC, I think we said it a little bit earlier, Brazil had a bigger impact on that with the lower demand there. And it's a high margin area for us, so you saw more impact there. Again, a lot of factors go into the delivery of the margin that we had. A good discipline in the business and our ability to manage through it. So that's really it. And of course, on the consumer side, we have some of our efforts to grow parts of the business that are higher margin as well. So that's impactful to the overall performance of that segment as well. So again, the heart of our business being agriculture, we talked a little bit about that. There's a good mixed level in terms of the product innovations we brought to market as well. So you have that impact holding margins at least.
Steve Ferazani: So were there different pricing actions taken depending on the segment?
David Martin: Pricing is very dynamic right, in terms of that the impacts of raw materials and other inflationary factors and so forth. And there's, again, very good discipline in that and how we approach it. And it does vary by -- it's even more than that when you get into this skew levels and things like that.
Steve Ferazani: Okay. If I get one more in, you didn't change your guidance. To us, your revenue was a little bit lower than we might have expected in 3Q. The guidance implies 4Q is a little bit higher. Was 3Q in line with your expectations and do you indeed think 4Q has a little bit of uptick sequentially?
Paul Reitz: Look, We see our order decks being stabilizing as we go from three into four, and then as we round the corner into next year, we see the boost coming from some of the de-stocking being done. And again, our end markets being in good condition as well. So, now we see things being fairly stable like you and I talked about earlier on the previous question, we see the inventory's levels coming down at the OEMs. They just bought way too many tires, especially and that happens. It's not anything new that we haven't seen in prior years, but just getting the visibility into that does take some time and getting them to work down through it. So we're watching our production levels, making sure we stay in line with where we see the forecasts and the market demand. But again, we see a world with the de-stocking being relatively behind us, if not behind us by the end of the year, like we already talked about, creating a nice world of stability for us. And so it's good to be on flat ground instead of feeling like we're going uphill. So yeah, I think the position we're in has stabilized nicely as we get near the end of the year.
Steve Ferazani: Great. Thanks, Paul. Thanks, David.
Paul Reitz: Thank you.
Operator: Thank you. Our next question comes from Kirk Ludtke with Imperial Capital.
Kirk Ludtke: Hello, Paul, David.
Paul Reitz: Good morning.
David Martin: Good morning.
Kirk Ludtke: Thank you for the call. And congratulations on another good quarter. Just a couple of follow-ups. With respect to the gross margin, can you expand maybe on what has changed? And have you reduced capacity, utilization up? Are you pricing things differently? Is there any kind of color as to what you're doing differently?
Paul Reitz: We've done a lot differently, man. We've done a lot of things really well. It's been a journey to get to that question and the point we're at with our Q3 results. And really, throughout all of 2023, I mean, we've done a really good job this year. And so David has mentioned in his comments earlier, it's not one simple thing, it's a lot of things. You combine what I keep mentioning in some of my comments as well. I mean, our innovation is tremendous. And with innovation, it's a win-win for everybody. It increases the profits of the end users, our dealers and our OEMs love being able to sell a product that makes their customers happy. And in return, we can earn better margin on that as well. So the innovation leads to better margins. It leads to more stable demand, both with the OEMs and also with the aftermarket. Again, a lot of products that we produce, this innovation can go directly to the aftermarket as well. It doesn't have to go through an OEM. So the changes we made at the company with innovation, David mentioned the pricing dynamics. We've gotten really good at understanding pricing, understanding our costs and combining the two of them. And we have, I've said it a hundred times and I'll probably say it a hundred more. I mean, the technical connection we have in the marketplace, it's not just engineers boots on the ground, it's people that are involved with pricing and financial analysis. They don't just look at it as a number on a piece of paper. They understand the equipment it goes on. They understand the impact that has to the end user. They understand how that flows through our operations and the costs in our plants. And so, we've created a tremendous environment around pricing and that's helped stabilize and improve our margins through these cycles. And along with that, we manage our plants effectively. Taking everything I said, that strong connection to the marketplace, we have forecasts that we know where things are going, and we know what to do within our plants, and we take the appropriate actions. I mean, we've got an awesome team of plant operators around the world. And I've said it again a hundred times [indiscernible] make it one-on-one right now. I mean, our One Titan team has done an exceptional job over the last four years. We've had very little turnover, if any at all, amongst our key management team. So our knowledge, our experience, our connection to the customer, it's second to none in our industry, and it's good to see us be able to handle these cycles and like you've seen through 2023, we've had a really good year.
Kirk Ludtke: That's great. That's very encouraging. Just shifting topics here. It's very encouraging. Just shifting topics here to the competitive landscape. Are any of your competitors making moves that are noteworthy? Do you sense any trends in market share?
Paul Reitz: You're always looking out over the landscape of what your competitors are doing. I think the big dynamics, what we've been talking about is just the OEM de-stocking. If we keep doing what we're doing, if we manage our plants effectively, keep introducing innovation, understand the market better than the competition, have that connection to the end users. If we keep doing what we're doing, we'll be in a good position with the competition. So, I haven't seen anything that has been a significant change to really answer your question directly. I feel good about what our moves have been this year, especially in Europe. I feel like our position in Europe has continued to strengthen. But again, the innovation we have in North America has been tremendous and our Brazilians have extremely high market share because they do an exceptional job there. So in our undercarriage business, strong brand, keep innovating, keep pushing into the marketplace and more distribution, better geographical footprint. Our ITM Brazilian business, we talked about the impact this quarter from some de-stocking, but again, their market share -- undercarriage in Brazil is exceptional. That business is phenomenal. So, now, I think we -- I look at it -- I look at it two ways. One, we got to always be looking at the competition like I started the answer to the question, but two, I got to look at our strengths and we've got to make sure we keep getting better on our strengths and I think we've been doing that this year.
Kirk Ludtke: Great. Thank you. And so market shares are stable?
Paul Reitz: Yeah, market shares have been stable. Again, you've got the de-stocking dynamic. But yes, there hasn't been much -- anything significant and much more to talk about other than really just watching our customers manage through that.
Kirk Ludtke: Got it. Well, I appreciate it. Thank you.
Paul Reitz: You bet.
David Martin: Thanks, Kirk.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Reitz for any closing remarks.
Paul Reitz: Well, thank you. I appreciate everybody's time and interest in our Q3 results today and look forward to talking to you in the New Year's as we highlight the results from the fourth quarter. Thank you. Have a good day.
Operator: Thank you for attending today's presentation. The conference call has now concluded.